Executives: Virland Johnson - Chief Financial Officer Jon Isaac - President and Chief Executive Officer Rodney Spriggs - Chief Executive Officer, Vintage Stock, Inc.
Operator: Good day, everyone, and welcome to today’s 2018 Fiscal Year-End Call. At this time, all participants are in a listen-only mode. And later, you will have the opportunity to ask questions during the question-and-answer session. [Operator Instructions] Please note that today’s call is being recorded and I will be standing by should you need any assistance. It is now my pleasure to turn the conference over to Virland Johnson. Please go ahead, sir.
Virland Johnson: Thank you. Good afternoon, and welcome to the Live Ventures Incorporated fiscal year-end 2018 conference call. Today, the company filed its Form 10-K for its fiscal year ended September 30, 2018 with the SEC. This filing can be found on our website www.liveventures.com in the Investor Relations section as well as on the SEC website at www.sec.gov. My name is Virland Johnson, Chief Financial Officer of Live Ventures Incorporated. And joining me today are Jon Isaac, Chief Executive Officer of Live Ventures Incorporated; and Rodney Spriggs, Chief Executive Officer of Vintage Stock, Inc. Please note that some of the remarks you will hear today may contain forward-looking statements about the company’s performance, as well, there may be forward-looking statements made during the Q&A session that follow our prepared remarks. These statements are neither promises nor guarantees, and there are a number of risks and uncertainties that could cause actual results to differ materially from those set forth in these forward-looking statements. Additional information concerning factors that could cause actual results to materially differ from those in these forward-looking statements is contained in our filing and periodic reports filed with the SEC, copies of which are available on our website or may be requested directly from the company. Forward-looking statements are made as of today’s date, and we do not undertake any obligation to update any forward-looking statements made during today’s call. Thank you to everyone joining us today for our fiscal year-end 2018 call. I would also like to express my appreciation to our management and associates of Live Ventures and subsidiaries for another great year. During our call today, we will briefly cover our company’s operating and financial results for the year, and then answer your questions at the end of our comments. Some operating results and highlights for the fiscal year 2018. The company reported record annual revenue of $199.6 million, representing an increase of 31.3% over last year and fiscal 2018 earnings per basic share of $3.01. Hard-surface products revenue $17.9 million continues to grow now at 49.5% year-over-year. Hard-surface products gross profits were up 50.9% year-over-year due to increased sales efforts. For the year, gross profit was $74.2 million, which is up 18.6% from last year. In addition, our operating income was $10.8 million, compared to last year of $18.1 million and net income was $5.9 million, compared to $6.5 million last year. For the year, our gross profit margin was down to 37.2% and operating income margin was down to 5.4%. This compares to the prior year when our gross profit margin was 41.1% and operating income margin was 11.9%. Cost of new product, sales levels, and mix of products negatively affected gross margins realized in the year for both Vintage and ApplianceSmart. The company finalized its purchase price allocation and fair value assessment regarding the ApplianceSmart acquisition and recognized a bargain purchase gain, net of deferred tax of $7.2 million. Subsequent to year-end on December 21, 2018, Marquis Industries sold two synthetic turf extrusion lines for $4.75 million, plus the book value of the raw material operating and packing inventories associated with the synthetic turf extrusion lines for a total purchase price of approximately $5.5 million, plus $0.10 per pound of nylon sold by the buyer during the 36 months’ period after December 21, 2018. Tax reform reduced the federal corporate income tax rate for the company from 35% to 21%, but for the 12 months ended September 30, 2018, we recorded an additional $3 million of tax expense due to deferred tax asset revaluation. As of September 30, 2018, the company reported approximately $2 million of cash on hand, plus an additional $7.4 million of available credit under the company’s revolving lines of credit. Net cash provided from operating activities for the 12 months ended September 30, 2018 was $11.8 million, an increase of 50.2%, or $3.9 million. Stockholders’ equity increased approximately 17.5% to $39.4 million over our year ended September 30, 2017. In June of 2018, the company successfully refinanced its Captiala term debt facility with a new term debt facility provided by Comvest at favorable interest rates. The company also negotiated a revised Texas Capital Bank revolving facility with an improved interest rate. In connection with the refinancing, the company charged off $742,000 in unamortized debt issuance cost as interest expense. For additional financial information and details, I invite you to review our press release filed this morning and view our SEC filings on either our website or on the SEC’s website. For all those on the call, thank you very much for your participation on this call and your continued interest in Live Ventures Incorporated. At this time, we will take comments and questions from those that are on the call. Jon and I will – and Rodney will be standing by to answer them. So please use the system to announce if you have a question or not.
Operator: [Operator Instructions]
Jon Isaac: This is Jon, question from Joseph.
Unidentified Analyst: Hi, good afternoon. The quarter sounds or the year sounds really good and continues to look good. The company continues to look good. I just wonder about apparently people don’t know about the company. And while I don’t think it’s your job necessarily to spread the word about it, how does that happen, so that eventually, people do get interested in it; and by people, I mean, mutual funds, other, the investing public?
Jon Isaac: That’s heavily a function of Investor Relations, and that’s something that we continue to improve. Over the last couple of years, we’ve been focused mostly on the operations and building our balance sheet and our P&L. But that’s something that definitely we want to spend more effort and more resources and time in investing in this.
Unidentified Analyst: But as I said, I don’t really think – I don’t necessarily want to see the company spending a lot of time and effort in that area. I think, you’re right. I think focusing on the company itself is the key and that eventually people will learn about it. I just wondered in general, how people find out, because there are so many companies that are out there, and – but you pretty much answered that. Thank you.
Jon Isaac: One of the other things to consider is that mutual funds and hedge funds that have hundreds of millions of dollars, billions of dollars, also don’t want to take huge stakes in companies that have a low valuation, so we’re sort of in this land where we’re not very valuable at this point. But I think, as you said, you’re right in time as we get bigger and our story becomes – people become more aware of our story, I think that more mutual funds would be – would take an interest, but I do believe that from the public filings that we do have, Vanguard or a couple of other big names that have taken positions in our company, but I think some of them may be reluctant in taking a position that makes them a filer or greater than 4.9% or greater than 9.9% owners in the company.
Unidentified Analyst: Thank you.
Jon Isaac: Thank you for your question.
Operator: [Operator Instructions]
Jon Isaac: It’s been an exciting year, $200 million of revenue. I think a lot of investors, shareholders should realize that it was just a few years ago that our revenues was $3 million, $4 million, losing money, 11 employees, I think now we’re at $200 million profitable – we’ve been profitable for, I think, seven, eight consecutive quarters. I think over 1,100 employees and counting, we’re also, for anyone that is on the call as well, we’re always looking for acquisitions. If you have any, we’re looking at a couple, as we speak, we think 2019 is going to be a good year. We’re excited.
Virland Johnson: We’re going to be opening up some new stores.
Jon Isaac: Yes. Rodney, maybe you can give us a little bit about what you’re seeing on your end , because your division represents almost half of the company’s revenues. Give us a snapshot of what you’re seeing, then we can take a question from JT?
Rodney Spriggs: Well, so far we’ve had a good year. One of the things we invested in that, I believe was mentioned on last quarter’s call was the text messaging system that we had built, and that is so we have a better engagement with our customer base, and we’re still operating with e-mails. We’re currently over 350,000 active text message customers; and again, people on their cellphone are wanting the same anymore. So we’re seeing great returns on that, and we’re adding 10,000-plus per week. So that is still growing significantly. And some proof of that would have been the Labor Day sale that was the exact same sale we had in the previous year, which is the big buy two get one free for our used product lines. And that sale on Labor Day was up 14% year-over-year same-store sales. The anniversary sale, the 1st week of November was up over 11% on same-store sales. And while our store sales will be slightly down, slightly up week-to-week, we’re getting these big pops and it is directly tied to that text mail messaging. One of the other things is, we were – Virland had mentioned about compressed margins a little bit, and a big part of that is the videogame cyclical nature, and we have huge sales in the PS4 even with some supply issues that is plugging the whole industry of all retailers on with Sony’s product, but that is starting to clear up. I think it’s a chip issue. The Switch is very, very successful from Nintendo, and is the number two seller and is very close to PS4 sales, and Xbox One is still Microsoft and Xbox sales are good, but there is not much margin in those items. You sell their systems for $300. You make about $3 or $4 each. It’s about the long-term, and it really hits the couple of years. Now we have a lot of used product that again, the margins are more in that 60% to 80% on used games and hardware. So we see a bright future. We like with the way the direction is on the video game, which has been a little bit of a lag for us, but it looks like it’s going to be really good here in the next couple of years.
Jon Isaac: One of the biggest milestones for Vintage this year was the refinance of a term loan that was expensive and that we replaced with Comvest. So that was really good for Vintage. We also have a few store openings on the horizon, Rodney, I think, in the next year what do you think, maybe four, maybe more potentially for 2019?
Rodney Spriggs: We – which would not be a part of this reporting period, but we did open two locations: one in Columbia, Missouri and one in Tyler, Texas in November, so those are currently operating. It looks like they will be profitable from day one. Good lease prices on those and then sales came out the gate really strong. As per our agreement with Comvest, we can do three stores between now and September and then we can do four stores next year, but there is also the possibility that we could request to do additional stores if they keep performing like they are as we open up.
Jon Isaac: The Comvest loan has helped us save significant amounts in interest expense. And in addition to that, we’ve been aggressively paying down that principal loan, I think, to the tune of about $3 million or so per year. They also have the cash sweep. So this holiday period, there might be some there. Let’s take a question from JT.
Unidentified Analyst: Hi, guys, how are you?
Jon Isaac: Good. How are you, JT?
Unidentified Analyst: Doing well. First, couple of questions, I guess for Virland. One – and I haven’t been able to look at the 10-K. But last quarter, it looked like there’s maybe a charge-off for write-down on the Vintage division. Is that right maybe to the tune of about about $2 million. Is that correct, or is that product-specific, or walk me through that if you don’t mind? 
Virland Johnson: I don’t think, we made any charge-offs in the Vintage division last quarter.
Unidentified Analyst: Okay. What were the financials on the Vintage division for the last quarter, compared to this, and then I guess?
Virland Johnson: We don’t necessarily report that specifically in Q4. Vintage’s numbers are very comparable. The revenues are up year-over-year. Gross margin, as Rodney indicated earlier, is down a little bit, mainly because of the margin on new products and has slipped a little bit. But again, the business is very healthy and doing well. So I would look – I would may be having a look at our revenues by product line and gross profits by product line, and that will give you a real feel for how Vintage is doing.
Unidentified Analyst: Okay. And then on the ApplianceSmart acquisition, again, it may be in this 10-K. But can you walk us through the terms of that acquisition?
Virland Johnson: Terms were originally a note to Appliance Recycling Centers of America, Inc. It was a due to do from a amount and then it converted to a note. And then ApplianceSmart we paid or paid a little over $2.5 million on the principal between December 30 and Q3. And now that note is accruing interest and is currently not due for another couple of years.
Unidentified Analyst: Okay. What is the total balance on the note?
Virland Johnson: It’s about $3.8 million.
Unidentified Analyst: Okay, all right, and thank you so much. And then my last question, I’ll hang up and thank you guys for taking my questions. The – I guess, the bargain basement for 2018 or for fiscal year, what – all the way were there two bargain basement that flow through the income statement, or what is the total amount of the bargain basement, I guess, upgrade, if you will, to the finance?
Jon Isaac: It was in two steps and then there was a brief adjustment in Q4 due to audit. But the total bargain purchased gain was $7.2 million.
Unidentified Analyst: Okay.
Jon Isaac: And that only applied to ApplianceSmart, it didn’t apply to any other entity.
Unidentified Analyst: Okay. So it’s just the ApplianceSmart, and that were fully reflected in the EPS number?
Jon Isaac: Yes.
Unidentified Analyst: Okay. All right. Thanks, guys.
Jon Isaac: We also took one-time non-cash expenses such as the deferred tax asset revaluation. There was a couple of positive hits and negative hits.
Unidentified Analyst: Yes.
Jon Isaac: Thank you for your questions.
Unidentified Analyst: Sure. And what does those net outreach, Jon?
Jon Isaac: Well, we took a $3 million hit on income taxes due to reval of the deferred tax assets. At the beginning of the year, if everybody remembers this, we had a fairly substantial deferred tax assets to the NOLs that have been carried over. When cash – the Tax Act came into being in December, we have to reval those. And the total revaluation effect for the year is right at $3 million. That hit has fully baked into our EPS numbers in the P&L. Offsetting that, we had about $7.2 million of pickup on bargain purchase. But we also have a lot of expenses related to ApplianceSmart that we’ve had to absorb in making the transition into those numbers that are also fully baked in our P&L. So we don’t really see once – we see the gain there, but it’s offset by some other things that are largely a wash for us. But since we’re on the topic of ApplianceSmart, I just want to mention something. I mean, the Marquis Industries is doing phenomenal. I think, it’s breaking records, sometimes months, sometimes every month. Vintage is doing really good. The growth prospects on Vintage looks good. ApplianceSmart is not doing so good, but we are in the middle of fixing some issues related to high cost, high-overhead and we may close some stores that are just not – that are contributing negatively to the bottom line. So, right now, we are devoting a lot of time and attention on an ApplianceSmart. But we think the turnaround will be good and no promises. But this is our main focus right now.
Virland Johnson: The other thing, I think, shareholders should be aware of is that, the synthetic point from our key was the lowest margin-producing line that we had at Marquis. And by selling that line off, it’s going to even help Marquis numbers even more.
Unidentified Analyst: Right. Thanks, guys.
Jon Isaac: Thank you.
Virland Johnson: Thank you.
Operator: [Operator Instructions]
Jon Isaac: I think it’s important for shareholders to understand a synthetic turf sale that closed recently. So didn’t happen in the fiscal year, it happened. The subsequent event, we – that was disclosed in the 10-K, but that synthetic turf line was sold to some other company for about, what, 5.5 million.
Virland Johnson: $5.5 million?
Jon Isaac: $5.5 million in cash, and that helped us payoff some term loans, but about half of that sale price went towards just cash and availability under our line of credit at Marquis. And then in addition to that, there was a consulting agreement that was signed between Marquis and the buyer of this equipment. So from a bottom line perspective, I think, it will be a neutral. But it does bring in some new cash that we can really redeploy. In the month of July, we also announced Mr. Wes Godfrey was appointed CEO at Marquis. We announced in February our new $10 million repurchase program that we’ve been excited about. Any other questions?
Operator: And it does look like we have any further questions on the phone line at this time.
Unidentified Analyst: Maybe, Jon, give investors some – your views for 2019?
Jon Isaac: As I mentioned, we’re very excited for 2019. We’re looking at the two potential prospects that I believe we may be able to – there’s a good chance that we may be able to make both acquisitions, both of them would be sort of a bolt-on for our existing platform companies. So we’re very excited about those. We’re focused on addressing the concerns of the ApplianceSmart and potentially two other acquisitions. But we also look at acquisitions on a weekly basis. They come across our desk and we get them from all sorts of places, investment bankers. We get them from private sellers, people who want to sell to us directly. So we look at those and we’re very careful as to who we proceed with and we have a certain criteria and we had here by it. So we may not have a year, where we have a lot of acquisitions, but some of the years it may offset. But our goal is usually one good acquisition, maybe two acquisitions per year, and we think it’s a long-term that Live will be a very healthy company as it is now and as shown historically, where we’ve taken the company in just the last few years.
Operator: [Operator Instructions]
Jon Isaac: Let’s take the call from Alan [ph] – question from Alan.
Unidentified Analyst: Hello. This is [indiscernible] actually. I was cut off and – for the first five minutes before the Q&A and missed your main presentation. Could you give me a 30-second summary of that first five minutes of your presentation?
Jon Isaac: You missed the presentation. Yes, at a high-level, I’ll just coke the – maybe the bullet points from the press release. Our revenues were around $200 million. I’ll have Virland.
Virland Johnson: Yes. Revenues are up about $200 million, 31.3%; our gross profits at $74.2 million, up 18.6%; our basic EPS is at $3.01; and our non-GAAP EBITDA is up to $25 million, up 7.8% year-over-year; assets are at $141.5 million. It was a growth year for us and we’re looking to grow into 2019. I will say the one thing that stands out the most is our operating cash flow that grew over 50% year-over-year. We’re almost at $12 million or something.
Jon Isaac: Yes. Okay. What else can we answer for you?
Unidentified Analyst: That’s good. Thank you.
Jon Isaac: All right. Thank you. We’ll end the call if there’s no other questions get someone next 15 seconds to.
Virland Johnson: We will be back to you in 45 days.
Jon Isaac: Yes, for the next for the…
Virland Johnson: For the Q1 call.
Jon Isaac: …first quarter. We do have another question from [San Thiago] [ph] San Thiago?
Unidentified Analyst: Hello, Jon, can you hear me?
Jon Isaac: Yes, we can hear you.
Unidentified Analyst: Yes. So my question was in regards to the liberation of the company, right? So my question was, have you considered increasing the share repurchases instead of acquisition?
Jon Isaac: We have been active in acquiring back shares whenever we can. Remember that the company just like us individually, we have blackout periods. And in addition to that, we cannot buy back stock if we’re in possession of material nonpublic information. So we strictly adhere to, of course, these rules. But when we are able to, we do buy on the open market. I believe the figure that I looked at recently in the 10-K yesterday was we acquired – we repurchased 142,000 since the start of the repurchase program. 142,000 shares, which represents approximately maybe 5% of the company just round figures. So yes, and now I believe we acquired stock at around – last year around $10 a share, now we’re at 30% less, despite the fact that we are stronger from a balance sheet perspective. Our cash flow has increased and we have a lot more on the horizon. So yes, we do look at Live Ventures and of itself as a potential acquisition in terms of buying incremental amounts of it back, and we had been successful in the past.
Unidentified Analyst: All right. Thank you very much.
Jon Isaac: On that note actually, Virland, I get a lot of questions from investors who say, how come why the stock down, why the stock up? We really can’t comment on why the market behaves the way it does. I mean, if you look at the market as a whole three weeks ago was 30%, 40%, 50% more valuable. So it’s – the market as a whole has been down, but we take it a day at a time and we’re building the company for the long haul. And whenever the opportunity presents itself and our stock is sold at a rate that we believe is good, we take advantage of it and we buy it back. So we’ve made it very, very clear to the investment community that we are and we will be buying shares in our company as we see fit and we’ve proven that. And I believe in 2019, we will be probably aggressively doing that. So we’ll see where we are a few months from now.
Virland Johnson: Well, thank you. We look forward to talking with you again in about 45 days to talk to Q1. Thank you for your participation on the call, those of you that asked questions and thank you for you – to the investors that are listening to the call. We’ll talk to you again soon.
Jon Isaac: Thank you.
Virland Johnson: Thank you.
Operator: This does conclude today’s program. Thank you for your participation. You may disconnect at any time.